Operator: Good day, ladies and gentlemen and welcome to the Gibraltar Industries’ Third Quarter 2015 Earnings Conference Call. Today’s call is being recorded and webcasted. My name is Adam and I will be your coordinator for today. At this time, all participants will be in a listen-only mode. We will be conducting a question-and-answer session towards the end of the conference call. I would now like to turn the call over to your host for today, Mr. David Calusdian from the Investor Relations firm, Sharon Merrill. Thank you, sir. Please proceed.
David Calusdian: Good morning, everyone and thank you for joining us. If you have not received a copy of the earnings press release that was issued this morning, you can find it in the Investor Info section of the Gibraltar website, gibraltar1.com. During the prepared remarks today, management will be referring to presentation slides that summarize the company’s second quarter performance. These slides are posted to the company’s website. Please turn to Slide 2 in the presentation. The company’s earnings release and slide presentation contain forward-looking statements about future financial results. The company’s actual results may differ materially from the anticipated events, performance or results expressed or implied by these forward-looking statements. Gibraltar advises you to read the risk factors detailed in its SEC filings, which can also be accessed through the company’s website. Additionally, Gibraltar’s earnings release and remarks this morning contain non-GAAP financial measures. Reconciliations of GAAP to adjusted measures have been appended to the earnings release. On our call this morning are Gibraltar’s Chief Executive Officer, Frank Heard and Chief Financial Officer, Ken Smith. At this point, I will turn the call over to Frank.
Frank Heard: Thanks, David. Good morning, everyone and thank you for joining us on our call today. As you have read this morning, Gibraltar is reporting another quarter of earnings improvement combined with top line revenue growth. We are very pleased with the quarter and our progress thus far towards transformation Gibraltar. Our higher year-over-year results plus expectations for the fourth quarter have led us to raising our guidance for full year 2015 and contrast favorably to last year. In 2014, we turned in an unsatisfactory year earning $0.47 adjusted on an increase of revenues of only 4%. For 2015, we now expect adjusted earnings to be between $0.90 to $0.95 adjusted on revenue growth of 15%, reaching close to revenues of $1 billion this year. We feel our 2015 results provides solid indication that our four-pillar strategy is beginning to take hold and will lead to a fundamental transformation for Gibraltar, including increasing earning higher returns with more efficient use of capital. At this point, the long-term goals of this strategy are to double our revenue, grow Gibraltar’s market capitalization to $1 billion and achieve best-in-class returns for our shareholders. After Ken reviews our financial results, I will talk about the business in more detail, including the progress we are making strategically and close with our updated 2015 guidance. So, with that, I will turn the call over to Ken.
Ken Smith: Thank you, Frank and good morning everyone. I will start by referring to Slide 3 in the presentation. The strong third quarter was headlined by significant double-digit revenue growth with an even larger increase in adjusted earnings. 3Q adjusted EPS was $0.50 compared to $0.30 a share last year. The strong revenue growth was driven by the incremental revenues of RBI and solar racking and commercial greenhouse businesses. And RBI contributed meaningfully with accretive earnings to Gibraltar’s bottom line this quarter. And also very satisfying was the continued earnings improvement from our base businesses. Our base businesses earned more money than last year despite the net revenue being lower than last year. The increased earnings was a direct result of two key elements of our four-pillar value creation strategy, first, accretion from strategic acquisitions and specifically RBI and second, operational excellence driven by the implementation of 80/20 simplification. As an aside, we have previously described the implementation of 80/20 simplification within Gibraltar over three to five years that is expected to raise our operating margins by 200 to 300 basis points, which in dollar terms is a benefit of $25 million in pre-tax income, or $0.50 a share, plus there will be corresponding benefits at a balance sheet as operational assets are reduced related to inventories, facilities and equipment. Let’s next turn to Slide 4 titled strong consolidated results. As noted on the slide, the 30% revenue increase this quarter was largely from the inquired RBI business, which is performing very well even above its 2015 expectations. And as important, our profits increased 67%, the net effect of improvements by our base businesses, plus RBI’s contributions. Impressively, our base businesses improved their net earnings compared to 3Q 2014 without the benefit of more revenues. Of the 57 percentage points increase in adjusted EPS this quarter, 13 percentage points of the increase came from our base businesses, which improved on a number of operational fronts. First, the incremental benefit from margin improvement actions taken during 2014, which included the facility closures as well as sales channel adjustments; second, new cost reduction actions this year, and third, the initial beneficial results from simplifying our base businesses. RBI’s adjusted earnings, which were worth $0.16 a share, reflected a particularly strong third quarter for key solar projects as well as its greenhouse businesses, which serves multiple agro business sectors. And compared to prior year periods, RBI is moving very well. My summary punch line for this Slide #4 we had excellent improvement in adjusted earnings this quarter compared to last year on nearly equivalent revenues in our base businesses again driven by controllable internal operational initiatives complemented by the earnings from the acquired RBI. Our year-to-date improvement plus high earnings expected for 4Q will yield stronger favorable results compared with last year and Frank will be providing more detail later regarding our rate of guidance. Before I describe each segment’s performance, I want to describe our base business performance in the aggregate, excluding the acquired RBI using Slide 5 titled outperformance in the base business. Our base businesses had nearly equivalent revenues compared to last year as growth in residential products was offset by a decline in revenues from products sold into industrial and infrastructure markets. Impressively, their combined efforts on margin improvement initiatives improved manufacturing and operational efficiencies plus initial benefits from simplification have resulted in the strong profit improvements shown in Slide 5. And this quarter’s improvement combined with the improvement in Q1 and Q2 this year is something a 39% rise in adjusted EPS for the nine-month period, again with no change in revenues in the base business. Next, I will talk about each of our two historical reporting segments. And to be clear, the RBI acquisition has not been reported in either of these two reporting segments, rather RBI is being reported separately. On Slide 6, the 3Q residential highlights, it had a very good quarter for revenues led by continuing growth in demand for postal and parcel storage products, as postal authorities continue to strive to have more mails delivered to centralized receptacles rather than door-to-door. This segment’s revenue from roofing related ventilation and accessory products decreased slightly on lower roofing activity plus 80/20 simplification decisions that affected SKUs with lower sales volumes. Turning to Slide 7, the Residential Products segment P&L performance. The net revenue increase provided operating profit leverage plus the adjusted operating income and adjusted operating margin increased nicely with margin expansion of 50 basis points. This significant growth in earnings also included operational improvement in manufacturing efficiencies, tighter management of supply chain and order fulfillment processes as well as the beginning benefits of 80/20 simplification, and the segment’s year-to-date margin has benefited by 90 basis points in my estimation and our calculations from the initial 80/20 initiatives that is enacted. Now, turning to Slide 8, the 3Q industrial and infrastructure highlights. As expected, third quarter revenues decreased affected by significant end market headwinds, lower unit volume resulted from the effects of low prices for oil and other commodities, which lessened this segment’s order rates. And this segment historically has derived 15% to 20% of its revenues from North American oil and gas end markets. Additionally, weaker foreign currencies in Canada and Europe where this segment has operations, has translated into fewer U.S. dollars of revenue. These factors have led to the segment’s 14% decline in revenues compared to 3Q last year. Concerning this segment’s revenue exposure to the U.S. transportation market, current U.S. federal funding for transportation remains a constraint, particularly for states planning larger projects. And as a consequence, our new orders continue to be smaller in dollar size and our 3Q revenues from the transportation infrastructure market were nearly equivalent to 3Q 2014. Despite the unfavorable top line for this segment, it’s probability increased a lot. And we will turn to Slide 9 and the Industrial Infrastructure Product segment’s profitability. This segment’s management teams continue to do a fine job limiting margin compression and made a significant decrease in order volume, mitigating actions have been taken that include but were now limited to improving manufacturing efficiency, deeper management of raw materials and its supply chain costs plus initial simplification initiatives. At this point Frank will provide an update on the company’s strategies and our raised guidance for 2015.
Frank Heard: Thank you, Ken. Now for an update on the business and our updated guidance, turning to Slide 10 titled continued progress on value creation strategy. As we have said previously, we are executing on a four pillar strategy to drive transformational change in our portfolio and in our financial results. The first of these pillars is operational excellence. Since the fourth quarter of 2014, we have been working to reduce overheads, price our products more strategically to better support our partners, consolidate facilities, improve our raw material sourcing and increase efficiency across the business. As a result of these initiatives, our third quarter adjusted EPS grew nearly twice the rate of revenue growth despite the decline in organic sales. The majority of this improvement continues to be driven by the 80/20 simplification process. We are better aligning our operating priorities with the relatively small set of customers who bring in the vast majority of our revenue and profits. We are working to raise other customer sales and margin profiles in a fair and responsible manner to better reflect our customers’ needs and commitment. At the same time we are focusing our resources on high volume products to provide us and our customers with the greatest return. Our stronger margin leverage on sales largely reflects the power of the 80/20 process. Within our residential segment, our postal and parcel delivery group continues to make progress driving increased levels of customer service as we improve operation and its – operations and efficiencies resulting in several consecutive quarters of double digit growth. As we enter 2016, we will be facing tougher year-over-year comparisons and we expect a further adoption of centralized postal delivery is likely to be a step process rather than completely linear over multiple 5-year cycles. This step process will begin to smooth as we gain momentum with new product introductions in the rapidly expanding parcel delivery space. Elsewhere in the residential segment the recent West Coast facilities consolidations in our roof related businesses are driving higher utilization, efficiency and operating margins compared with a year ago with significant contributions over our improving EPS performance and we expect it to continue into 2016. While we are also capitalizing on the power of 80/20 to offset the downside of lower volumes in our industrial and infrastructure businesses, in this case through strategic pricing and realignment of overhead. We believe that we have increased our market share to time when demand in both sectors has been bouncing along the bottom at best. We particularly like the fundamentals in infrastructure and we will continue to invest in this space organically and through acquisitions. That said, we are doing a better job of aligning our pricing with raw material costs, most notably steel, while deemphasizing less profitable industrial and infrastructure business. As a consequence we are reducing overhead and simplifying our back end operations in this segment leading to the margin expansion in this quarter that Ken described. From an EPS perspective, executing on the first pillar of our strategy and 80/20 specifically resulted in a $0.10 improvement in our residential business while at the same time preventing $0.20 negative impact from lower industrial and infrastructure volumes. Given the important role it played this quarter, I will talk a little bit more about strategic pricing which for us means far more than simply trying to recover raw material cost. It means being smart about customer segmentation and using the 80/20 segment – 80/20 process to make sure that we have the right pricing in each of the four quadrants ensuring that we are supporting our customers as we strive to grow our mutual share positions and profitability. The goals of this segmentation are two fold: First, we nurture our more strategic long-term customer relationships in concert with customer support programs. And second to improve our trading relationships with customers in less strategic sectors and markets. With that as background on the first pillar and our strategy, I will quickly touch on the other three. Starting with portfolio management, leveraging the work we are doing in 80/20 we are taking a more strategic look at our customers and end markets as we continue to evaluate our portfolio in terms of best use of our financial and human capital. We have refined our initial thinking on the portfolio and it’s clear we can’t get from where we started to the kind of long-term shareholder returns we are targeting without making some changes in our capital allocation. We remain on track towards developing a portfolio management action plan by the end of 2015 with an eye towards implementation in 2016 and beyond. We also made progress this quarter on the third pillar of our strategy, product innovation. We have identified three key areas of opportunity centralized mail and parcel delivery, residential air management and transportation infrastructure. And we are allocating new and existing development resources to the first two. Innovative products defined as products with patent protection introduced within the past 3 years, represents 4% of revenue for the nine months ended September 30, 2015. Our objective is to get this to approach 10% of revenues by 2020 driven by acquired product lines as well as internal product development. Our fourth strategic pillar is acquisitions, we are focused on making strategic acquisitions in five key markets, three of which are served by existing platforms within the company and two are new. The existing platforms include the same areas where we are targeting the development of innovative products postal and parcel solutions, residential air management and transportation infrastructure. The two new platforms are water management and renewable energy. With these growth platforms all having common exiting and new is that they are all large high growth markets that are technology rich and offer higher returns on investment than we have realized in the past. Under the leadership of our Vice President of Corporate Development, we have a strong team pursuing opportunities together with effective processes for assessing potential deals, the best avenue since RBI which substantially outperformed our revenue expectations in the third quarter. Looking forward, we will remain focused on deals that drive shareholder value creation in both the short-term and long-term and the quality of our pipeline continues to improve. Let’s now turn to Slide 11 which summarizes our revised 2015 guidance, which we are again raising. We are confident that Gibraltar will achieve the three goals we have set for 2015: First, increasing adjusted earnings; second, making more efficient use of our capital; and third, delivering higher shareholder returns than we did in 2014. With less than three months remaining in the year, our assumptions about end market conditions have not changed. However, we are raising both our revenue and adjusted EPS guidance for 2015. This reflects our third quarter outperformance on both as well as continued momentum in the business as we begin the fourth quarter. For the fourth quarter revenues and adjusted EPS are expected to be up substantially compared with the fourth quarter of 2014 benefiting from the accretive income from RBI acquisition and our profit improvement initiatives. Looking at our assumptions for 2015 as a whole, we continue to expect 2% overall base business revenues year-over-year with single digit growth in residential segment sales being more than offset by lower industrial and infrastructure sales. However, we now expect RBI to add incremental revenues in the range of $155 million to $160 million in 2015 including the $89.8 million we reported through September 30. As a result, 2015 consolidated revenues are expected to range from $990 million to $1 billion, up approximately 15% from $862 million of sales reported in 2014. Looking at the segments specifically for the reasons discussed earlier, we expect 2015 Industrial & Infrastructure Products segment revenue to be down nearly 12% year-over-year. Residential products segment revenue is expected to be up approximately 7% driven by postal products line. In terms of profitability given the progress we are making on operational excellence, so pillar number one we now expect to report base business adjusted earnings per diluted share for 2015 of $0.66 to $0.69. This EPS guidance includes about $0.19 per share of negative impact related to higher performance based compensation in 2015 compared to 2014. Including the accretion from RBI, we now expect total adjusted earnings per diluted share for 2015 in the range of $0.90 to $0.95, up substantially from the $0.47 reported for 2014. Finally, we expect capital expenditures in 2015 to be in the range of $12 million to $15 million. In summary, Gibraltar is well on track for a strong 2015 and we are fully committed to achieving best in class sustainable value creation for our shareholders over the long-term. At this point, we will open the call for any questions you may have.
Operator: Thank you, ladies and gentlemen. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Ken Zener with KeyBanc. Please go ahead with your question.
Ken Zener: Good morning, gentlemen.
Frank Heard: Good morning, Ken.
Ken Zener: So, with the upward revision, obviously industrial is still facing a very difficult time yet you have done a nice job expanding those margins there. If you could maybe isolate Frank or Ken, how much business are you walking away from that increases it as opposed to the re-pricing or is it all, I mean, I am just trying to understand how in a such a difficult headwind you are able to expand the margins, these couple of 100 basis points. So, you are just like walking away from business, I mean is it equal parts walking away, re-pricing and new processes?
Frank Heard: I think this team has done an excellent job in identifying its key customers and focusing on primary – primary relationships across all of its customers that it’s trying to improve on and over serve. And at the same time, it has trimmed some of its very small volume products and migrated some of the smaller size volume order streams into other channel partners that it uses. So, probably an estimate of what that transition has managed maybe its 3 to 4 percentage points of business that we no longer serve directly. And at the same time, it’s done a very good job and I’d say managing the relationship, because we got raw material costs that are changing by the day and week and they are trying to deliver value for all its – its key trading partners and customers. So, it’s hard to overly numerical on all the pieces that have affected the 14%, but it’s certainly the lion’s share has been just end market activity being down.
Ken Zener: Yes, okay. That’s helpful. I mean, what a surprising result, so congratulations. I wonder, if with RBI, it seems like it came in a bit higher and a bit richer, perhaps the new guys were thinking, now that you guys have, Rich has been there and you guys were seeing the business operate here now for a little bit longer. Can you talk about what that – why that upside occurred? Was it visible? Were you guys being cautious? How is the cadence in that business in terms of your guy’s ability to understand that revenue considering it just did better than you guys thought?
Frank Heard: Yes. Ken, to be quite honest, I think it was a bit of all of the above. A new space for us, I think we did a lot of research prior to entering this space and ultimately choosing RBI to enter it and as you know as we have kind of gone through the early ownership period with RBI, we spent a lot more time within the business, but also in the industry itself at various shows and looking at other opportunity. So, I think we become a little bit smarter about the end market activity and its upward potential and feel obviously very good about our initial decision to enter it. And then as we begin to get to know RBI a little bit better deal and their history of growing share are really expectations in terms of our outlook for RBI was we would ride the wave of an expanding market and maintain their share. But I think one of the things, which is happening is they continue to grow share which we discounted a fair bid. So, a pleasant surprise for us and we are doing obviously everything we can do to support them and accelerate that process going forward through 2016 and 2017. Ken, I don’t know if you have something to add to that?
Ken Zener: I have one. No that was good. If I could can ask one more question. Frank, you mentioned postal being a step versus linear as you look into 2016 given that you have postal service, could you give us a little clarity in terms of how we could understand your words step versus linear? It sounds like it will be kind of flattening here in the back half, because you are comping the last year that should continue I assume into the first half of the year, but were you referring to the back half of FY ‘16 on the postal products. Can you provide a little bit of sense of that, please? Thank you.
Frank Heard: I think the challenge with centralized mail as you know there is three segments. There is sort of the single-family home door-to-door, which is the legacy piece. There is the centralized piece where any new home construction on both sides of the border is already being centralized. And then there is parcel delivery, which is an emerging space and as the postal services try to manage declining mail in door-to-door on a fixed cost base, they try to – now start to convert the more legacy homes into centralized mail and we look at North America is splitting up in eight regions. In early days, one is partway through a conversion and to some degree we are getting some benefit of that, but these are governments, we have no control over at what rate they are going to migrate towards centralized mail on some of their legacy delivery programs. Obviously, the losses are significant in both organizations. So, I think they are well motivated. But as we work our way through contracts, at some point, they are going to flatten out in terms of year-over-year comparables and then we have to – we would like to see one or two come on as an overlapping opportunity, but we don’t control the timing of that. And so we are trying to be conservative and we think it’s going to be more of a step program and to be quite honest, I think it’s probably going to be by the time the whole North American market gets converted. It’s probably going to be somewhere between 5 and 10 years. So, I think as we work backwards into our planning process, we are trying to be relatively conservative in making any kind of assumptions around ever increasing comparables on a year-over-year basis.
Ken Zener: Thank you very much. Congratulations.
Frank Heard: Thank you.
Operator: Thank you. Our next question comes from the line of Daniel Moore with CJS Securities. Please go ahead with your question.
Daniel Moore: Good morning.
Frank Heard: Good morning, Dan.
Daniel Moore: I did want to dig in just a little further on the last question or two in terms of RBI you mentioned greenhouse is doing well, maybe just breakout areas where you saw better stronger revenue than expected? And then you kind of highlighted tough comps as we look into fiscal ‘16 in postal, but didn’t do so in RBI. So, just wanted to get a sense of kind of reconfirm your confidence in the sustainability and continued growth in RBI business as we look out to ‘16 and beyond?
Frank Heard: Well, look we will provide our 2016 guidance with segments detailed when we report our fourth quarter earnings in mid-February, Dan. But qualitative remarks today in that business, I would say they have continued to be as Frank cited a very impressive management team and fulsome organization as they built out both their legacy platforms serving agro businesses with their commercial size and very sophisticated greenhouse from designed implementation and construction and completion. And I guess surprising to me that it did have – it has had double-digit – low double-digit, but double-digit growing market at least for RBI’s participation this year. So, they are doing a really fine job across serving the sub-sectors that target their greenhouse business. And then on their solar business, they have had – I think we continue to have strong double-digit growth for solar racking. Of course, as you know it primarily serves ground-mounted utility arrays, but they are increasingly taking that set of services and skills into carports and other structures such that complementing what they are gaining in the market share just in ground-mounted utility. So both pieces and in total RBI is – no, no its an impressive organization from head to tail and viewing some really fine revenue strength that I think will have expected growth moving into next year. But before you get too far highlights on what 2016 may look like compared 2015, see we’re pleased where they are thus far and we’ll give more numerical detail, when we give our full year 2016 guidance in about 90 days.
Frank Heard: Dan, just to add a couple of comments to that and relative to that leadership team, this is you know a group of people that under Richard’s leadership that, are not depending on arriving market so to speak. They’ve got strong tactical plans on how to grow from commercial ground mount and to the other three segments whether it would be utility, residential roof-top or commercial roof-top. In addition to share gain plans for the space that we’re in today in terms of commercial ground mount. I think over and above that, they had similar types of tactical strategies in various elements of their greenhouse business and they’re quite aggressive about that. So, they are not about growing revenue, they are about growing profitability share. And then, the other element in this is, is that they’ve got an expanding rest of the world growth strategy that’s flowing out quite nicely in Japan and China, Eastern Europe and early days in South America. So, all things which suggest that this is a business, that’s going to thrive in 2016 on a comparable basis to 2015 as well. So, we’re not at that stage in terms of validating that going through year end budget process. But, the nice thing about sitting in front of these guys they are not showed up any ideas and they certainly have the skill that’s in track record to execute on them. So, we’re looking forward to that process.
Daniel Moore: It’s great color. Thank you. And just shifting gears to infrastructure, can you quantify the degree of impact on year-over-year basis that energy or oil and gas related had on revenue as well as FX?
Frank Heard: That’s probably a segment question rather than a sub-sector of that segment, which our transportation infrastructure Dan? Because our bridge bearings and expansion joints, product set is probably 25% of the revenues for that industrial and infrastructure segment. So, I’m just going to answer your question is if you are asked about the segments.
Daniel Moore: Yes.
Frank Heard: But currency FX on the revenue for the third quarter was a negative 3% factor on revenues. And the balance of that 14% revenue decline for the quarter was largely volume, balance of volume.
Daniel Moore: Got it. Helpful. And then you mentioned obviously the key pillar being M&A generate a lot of cash balance sheet, balance sheet is still in good shape, talk about the acquisition pipeline and your confidence in finding the next RBI seller opportunity, in a reasonable timeframe?
Ken Smith: Yes. I think as I pointed out in our call, we have this growing pipeline and it’s not in terms of the numbers, but I think it’s in terms of the quality and certainly in this in the spaces that we are interested in. So, I think standing opportunities in the space we just entered in terms of the solar space. And I would also like to point out that, we entered that space and we find it, because of its attractiveness, but we also like the greenhouse space for a variety of reasons and we don’t discount that in terms of acquiring businesses in that space as well to enhance our leadership position and round out our value proposition. That itself is an area that we’re looking strongly at, industry, the infrastructure piece of the industrial infrastructure segment reporting group, bridges, roads and dams, type solutions as it relates to testing and as it relates to bearing work and different forms of cabling, in an effort to own the bridge on a domestic and international basis is something that we’re interested in. And certainly trying to look at our residential group in a manner that today a big part of our business most of our business is tied to roof. We don’t have a lot of direct linkages to do new home construction. And as we look to expand that group we’re looking for acquisitions that would tie us more directly to new home construction, which would give us a nice balance between the roof aspect of that market and the, which is tied primarily to renovation and new home construction. So, over and above that, those two comments are, certainly if we could find and we continue to look and we feel pretty good about our prospects of looking to accelerate our leadership position in emerging parts of delivery space of the postal group that will be another area. So from a timing perspective, we’ve got several opportunities and we are reviewing and earlier would be better than later, I guess this is where we stand today.
Daniel Moore: Very good. Thank you for the color and congrats on a great quarter once again.
Ken Smith: Thank you.
Operator: Thank you. Our next question comes from the line of Al Kaschalk with Wedbush Securities. Please go ahead with your question.
Al Kaschalk: Good morning, guys. Can you hear me okay?
Ken Smith: Yes, we can Al. Good morning.
Al Kaschalk: Great, great. I wanted to focus on two areas. One is, I think one of the things we’re struggling within are and just trying to appreciate this, the nature of the RBI business from the standpoint of the sell-in versus sell-through. And maybe there is a concept of backlog to give us comfort on the maybe your near-term visibility, that along the multi-year plan that there is a new platform provides you? Could you add a little bit of color to that Frank?
Frank Heard: I’m going to let Ken start, Al if you don’t mind.
Al Kaschalk: No problem, no problem that’s a right choice.
Ken Smith: They do operate also as a backlog for both businesses, because these are particularly for our new installations, this is a great deal of engineering and design work and site preparation it is for ground mount of utility installations. So there is a lot of effort that RBI applies to its customers and essentially for design through actually installation on the ground. Those projects, I’d would say their backlog for seller an estimate of five year window, five month window into the future of what their revenue streams would like be. And greenhouse is our specifically for new installations, the more complex they are particularly for internal systems that regulate competitive humidity in any location, of locations of in site inventory. We’ll probably have the same kind of time frame of what the backlog we predicted for the future revenue.
Frank Heard: So Al, not too just similar I guess from, our D.S. Brown infrastructure business, somewhat familiar with operating off of backlog project-based lead times in the area, just short as probably being three months in some cases projects that will go multiple years to completion. So the difference obviously, so we’re familiar with that, we have the degree of comfort with that from a planning and the forecast perspective, and RBI in both its components operate in a similar manner. What’s different from us for us obviously as we get closer to this business is getting comfortable and getting that more knowledgeable base from a forecasting perspective as it relates to a new and different type of end market. The dynamics that are going on and that versus, fairly steady end market that is in bridge infrastructure repair. So, I think that’s where we are – we’re gaining kind of additional confidence as we move along and the closer we get to it. So, it’s not something that we’re not spending time on and Ken and his team spent a lot of time with the new RBI growth on this and I think they are getting a fair amount of confidence in how we can forecast the future and feel good about it.
Ken Smith: I don’t think we lost Al, he is probably writing notes.
Operator: Gentlemen it assumes the line has disconnected. We will move on to the next questionnaire. Our next question comes from the line of Michael Conti with Sidoti & Company. Please go ahead with your question.
Michael Conti: Hey good morning.
Ken Smith: Good morning.
Frank Heard: Good morning, Mike.
Michael Conti: Yes. I just have a question with RBI. Can you just talk a bit more about the increase in your sales projection, is that more of a result of a big project coming on in the fourth quarter being you have just mentioned your backlog or are you starting to maybe see a pull forward effect from U.S. customers ahead of the tax credit step down?
Ken Smith: There are a variety of sizes of revenue dollars across their projects in their backlog, but there is no $20 million or $30 million individual projects in there. So we have a very nice dispersion of project variety across key developers who can put these ground mounted installations in place. So they have got a nice I would say a nice diversity across the base. And I would say the other aspect of your question, Mike, was...
Michael Conti: Yes, ITC.
Ken Smith: The ITC, it’s hard to say, I would certainly – if you are a financier and developer you would like to take advantage of the maximum available products. So – but it’s hard to say who is trying to move from Q1 of 2016 into Q4 or even in the third quarter we just finished. It’s becoming – and it’s becoming rapidly almost comparable priced source of generating electricity without incentives. And particularly for customers, who would like to get away from fossil fuel and the environmental impacts that that brings and getting to a clean energy source, that also is independent of what financial incentives are available. So they are independent of the incentives in what may step down or change in 2017, that’s yet to be considered in commerce for extensions. There is a lot of positives that are driving conversion over to solar independently.
Michael Conti: Okay. And then transitioning to infrastructure, I know you mentioned smaller orders, but can you just talk about getting activity there, has that stepped back at all and there maybe can you just give us an idea on how that trend in backlog now compares to maybe the trend in backlog during the last series of highway extensions?
Ken Smith: I mean it’s been a long time like since we have had a law, an appropriation of the Congress for a long time window. If I go back a couple of years, when I was – it’s longest for a 2-year period. And we have just been in a series over the last year or months. Of course the current lines, it’s got another 24 hours to go. So it’s hard to say, but what’s been remarkable about our transportation infrastructure management teams is that they have been able to capture their fair share of available projects. Their backlogs have remained very steady over the last 24 months. And although there has been some modest dip in quotations coming out over the last let’s say four months or five months, because of the uncertainty of when there would be an extension beyond October 29, 2015 by Congress. Certainly there was a lot of rhetoric coming out of Washington that there is going to be an extension beyond tomorrow, right. But our business has done a nice job in being able to keep its backlog steady and its revenue steady through these uncertain times of short appropriation windows.
Michael Conti: Sure. Okay. And then my last question just in regards to your updated guidance, it’s a pretty tight range there, so what’s going to move us from one side to another?
Ken Smith: I don’t know it’s – we used just a little bit of a chronology. We used $0.10 range when we were back in March for a whole year. And now we know three quarters of the answer for 2015. Year-to-date results through September. So it’s felt in my brain at a narrower range, because we only got 90 days of performance left. Our business units are – I think are getting really good at predicting their revenue streams and their operating results. And probably what would move us from one side of that $0.05 range to another would be the degree of over performance by RBI.
Frank Heard: Yes. Okay. I think that’s really the key in this is that the range I would suggest is the lion share of that nickel would be to your earlier point. We have owned RBI for a relatively short period of time. It’s in a new end market space that we are picking up our understanding of it as quickly as possible. And they operate in an environment where they have large projects and it’s really a percent of completion and the lion’s share of that industry does – they do a lot of their work in the back end and certainly the fourth quarter is a meaningful quarter. So depending on what’s in the door and what’s – on December 31 and what isn’t maybe will make – will shift that EPS a little bit within that range. I think our legacy businesses, we don’t expect to see any surprises. But in RBI, I would think that the 80% of that range could be – could move around because of how they close out for the year.
Michael Conti: Great. Thanks for taking my questions.
Frank Heard: Alright.
Ken Smith: You’re welcome.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Walter Liptak with Seaport Global. Please go ahead with your question.
Walter Liptak: Hi, thanks. Good morning guys and good quarter.
Frank Heard: Good morning Walter. Thank you.
Walter Liptak: So Frank, I want to ask about your experience now with the company and the 80/20 process. And specifically what innings you think we are in. And as you have been going through and doing the 80/20 work, is there anything that’s gone better than you expected?
Frank Heard: Yes. On sort of the financial metric side, I am quite pleased with our progress as it relates to our short-term and long-term goals, as it relates to the EPS contributions to a rise in EPS. I mean I think that’s going well. 2016, we will start to see more significant gains in terms of trimming out of our balance sheet. But I think the pleasant surprise based on my previous experiences is how quickly we have got a cultural shift right across Gibraltar as a corporation. Our top 200 functional managers, who really kind of lead the teams and are doing the work, we have got a very engaged group of people, who really see this as a means to get their businesses to a better place. And I think they – we have seen a tremendous amount of pride as they begin to get some traction on some of the project work and are starting to see some returns. So, my experiences in my past life it was typically we got the benefits first and the cultural shift kind of lagged a little bit as people needed to see the numbers. But we have really got our key people driving this and I think that’s the big part of our early successes. And I would suggest that we are ahead of the curve in terms of where I expect to be.
Walter Liptak: Okay. You called out pricing earlier in your commentary and I wonder how important at this point is pricing, have you been trying to implement new pricing strategies within RBI and if that’s one of the more difficult things to implement to get the culture change?
Frank Heard: Well, I would say on the toolbox overall, relative to 80/20, we have not even started that process with RBI. We have got a – we have got a kind of a scheduled date for that, it’s part of our integration and some of these things we bring to the party in terms of enhancing that business’ operating margins. Does that aspect, there is make versus buy decisions, there is sourcing of raw materials and freight and all those kinds of things that I think we do well at Gibraltar that as we work our way through the process of sharing with RBI, I think we can get some gains and 80/20 will be part of that. So pretty much a program that’s just early days in terms of conversations and workshops and we will accelerate that through 2016 and expect to get some pretty material benefits out of it. In terms of the rest of the corporation, as much as pricing is part of toolkit, what we’re really trying to do, the longer term value of that is if we get the pricing right in our various customer segments, we’re going to end up with stronger partnerships. And that’s what we’re trying to do. We’re trying to improve the value proposition, we bring to our key customers with our key products, strengthen the value proposition in terms of price service and quality. And I think as we get focused in my history is as we get focused on those customers with the right products that are meaningful to them in terms of their end-users. Their business will improve and so will ours. And I think our history here is, is that we try to be a little more all things to all people and to some degree, some of our which should have been our key customer segments have suffered a little bit. So, we’re trying to rectify that as quickly as possible and its early days, but I think we are starting to see some success stories as, some of our big guys are getting bigger. So that’s our intent.
Walter Liptak: Okay, alright. Good. And I wonder if I just ask Ken one, if we can switch gears to the residential comment that you made about roofing that it was down. And I think you mentioned that it was down, because of the market and because of PLS. I wonder if you can provide some more color, how much of that decline in roofing is, is for me through those buckets?
Ken Smith: I would say the re-roof, now year-to-date, I’ll start up by answering that year-to-date re-roofing activity and our service to what is actually increased, they’ve had an increase in revenues on a year-to-date basis. So volume through nine months is a net positive for our roofing related ventilation and other accessory products that are largely installed under the eves and upon to the roof. And that’s up collectively about 7%, eventually all of that is volume on a year-to-date basis. But within the quarter just the third quarter we had a modest 1 or 2 points volume decrease with roofing related products. So de minimis for the full year we’re not expecting any notable, favorable increase in the fourth quarter given that we’re getting into the seasonal part of the year. We indeed had a decently strong comp last year in the fourth quarter for this product set with residential segment. So, tips turn up similar, a really big job in flowing in end market tips, being flat to modestly down with our year, our personal year-to-date variably increased revenues to it. With that said, there are some initially 20 initiatives within this actually both sides, but in this one in particularly which you are asking about. There are some very low volume products, I’ll give you a couple of examples that we’ve – we saw well under, into this six digits probably 1000s of dollars that we sell through and we had an annual basis, such as stone coated metal roofing, outdoor water and waste receptacles, metal based waste receptacles in water [indiscernible]. So the majority of the revenue drop has been market related and it’s just a very small degree on turning of clearly low volume products.
Walter Liptak: Okay and, yes I appreciate the color on that. And I wonder if, you can tell us may be more broadly like the product line simplification, as we’ve seen much PLS yet like year-to-date and how much do you think that may impact the revenue growth in like over the next months?
Ken Smith: I think that’s relatively small thus far this year for the nine months and probably through the 12 months of – all of 2015 that will be a small degree, I do think we would see more traction next year as actions that we’re deciding on here in the second half of 2015, actually take effect in the new calendar year, but not much thus far.
Walter Liptak: Okay, alright. Thank you.
Operator: Thank you. Our next question is a follow up from the line of Daniel Moore with CJS Securities. Please go ahead with your follow up.
Daniel Moore: Thank you, again. Most of my follow ups are covered. Ken, just wondering if you could breakout the non-recurring items between cost of good sold and SG&A and if not quickly we can take it offline.
Ken Smith: I think one of the schedules that we attached in the earnings press release Dan back on pages 8,9,10 and 11. They certainly aggregate the – this restructuring, for example most of the RBI the $2.7 million is SG&A related. The restructuring cost this quarter was about $757,000 in restructuring residential, it’s largely cost of good sold. And we’re seeing the leadership transition cost which were $308,000 for the quarter are SG&A volume.
Daniel Moore: Very good, thank you again.
Ken Smith: Welcome.
Operator: Thank you. Ladies and gentlemen, at this time we have reached the end of our Q&A session. I would now like to turn the call back over to Mr. Heard for any closing or additional remarks.
Frank Heard: Thanks, operator and thank you everyone for joining us today. We look forward to talking with you again in mid-February when we expect to report our fourth quarter results. Thank you again. This concludes our call.